Operator: Welcome to Quotient’s Second Quarter 2020 Earnings Conference Call. [Operator Instructions] As a reminder, this conference is being recorded and will be available for replay from the Investor Relations section of Quotient’s website following this call. I will now turn the call over to Stacie Clements, Vice President of Investor Relations. Thank you, Ms. Clements, you may now begin.
Stacie Clements: Thank you, operator. Hello, everyone, and welcome to our second quarter 2020 earnings call. On the call with me today are our CEO, Steven Boal; and Pam Strayer, our CFO; and Scott Raskin, our President. The Company’s stockholder letter has posted almost an hour ago on the IR section of our corporate website, investors.quotient.com, alongside our press release and earnings presentation. The team is hosting this call today from separate locations and prepared remarks have been prerecorded to avoid any technology interruption. Prepared remarks today are also abbreviated to leave more time for Q&A. Before we begin, please note that during this call, you will hear forward-looking statements. These forward-looking statements include projections for our third quarter and full year 2020, our ability to manage our business and liquidity and to capture marketing dollars during and after the COVID-19 pandemic, brand plans to rebook paused or delayed campaigns later in the year, growth in e-commerce, our ability to capture marketing dollars on retail performance media, CPGs’ as plans to reduce spending on FSIs, the effectiveness of our cost control measures and our ability to leverage investments and operating expenses as well as the expected growth of and investments in our business generally. Forward-looking statements are based on information available to and the good faith beliefs of our management team as of the time of this call and are subject to known and unknown risks and uncertainties that could cause actual performance as a result to differ materially. Additional information about factors that could potentially impact our financial results can be found in today’s press release and then the risk factors identified in our annual report on Form 10-Q filed with the SEC on May 6 and our future filings with the SEC. We disclaim any obligation to update information contained in these forward-looking statements, whether as a result of new information, future events or otherwise. Please note that with the exception of revenue, operating expenses, gross margins and net loss, financial measures discussed today are on a non-GAAP basis and have been adjusted to exclude certain expenses. A reconciliation between GAAP and non-GAAP measures can be found in the financial results press release issued today and on the slides posted on the company’s website. With that, I’ll now turn the call over to Steven.
Steven Boal: Hello, everyone. And welcome to our Q2 2020 earnings call. I hope that everyone continues to stay healthy. As Stacie mentioned, we’re doing today’s call from remote locations. Revenue in the second quarter was $83.5 million, within our guidance range of $80 million to $90 million. As we mentioned on our last earnings call, revenue was expected to be soft in the second quarter due to impacts of COVID-19, as consumer packaged good manufacturers and retailers paused, delayed or canceled marketing campaigns to address low inventory levels on store shelves and to help manage retail foot traffic. This was also the first full quarter that was negatively impacted by the change of gross to net for a portion of our media revenue. If that revenue is recognized as gross, total revenue would have been $8.6 million higher or a 12% decline year-over-year. We delivered $4.4 million of adjusted EBITDA, well above the top end of our range of $0 million to $3 million, primarily due to our continued focus on cost controls, which lowered total operating expenses. We believe Q2 will be the most impacted quarter from the effects of COVID-19. Looking forward to the back half of this year, bookings are already higher than historical trends at this point in the quarter, and we have a strong and growing pipeline of new CPG and retailer business. As a result, we’re expecting the second half to grow over 36% compared to the first half of this year. The public commentary from many of our CPG customers note that they plan to increase ad spend in the second half of this year, further validating the expected growth of our business. Now more than ever, maintaining brand awareness and market share remains a key focus for CPGs, as they think about marketing investments and the importance of shifting dollars to digital to be where shoppers are spending their time. Our teams are moving swiftly, building new products, signing new retailers to our platform and delivering exceptional customer experiences. Today, I’m thrilled to announce that we’ve added two new retailers to the Quotient network. We recently signed Rite Aid to our network, adding Retailer iQ, Retail Performance Media or RPM and self-service sponsored product search to help Rite Aid drive sales and increase shopper loyalty. We also signed HyVee, increasing our scale with supermarkets and convenience stores in the Midwest. HyVee will be launching with Retailer iQ and RPM. Quotient brings a complete set of solutions to retailers looking to prioritize digital, including the reach and scale of our shopper network, advanced technological capabilities, actionable analytics and strong measurement capabilities as well as other industry expertise that others simply cannot deliver. These retailer additions are the results of the work we’ve been doing over the past 12 months as we’ve put a sharp focus on growing our pipeline of new retailers and this is only the beginning. In addition to the retailers mentioned above, we have several more in various stages of development. Some are in new verticals outside of our traditional grocery, drug, mass merchant, dollar club and convenience channels, and we look forward to sharing more on these efforts in the coming months. We are also significantly scaling our self-service sponsored search platform. In June, we expanded our partnership with Ahold Delhaize USA and Peapod Digital Labs, to power a self-service platform across their U.S. retail banners for sponsored product search advertising. Rite Aid and Ahold Delhaize USA mark our third and fourth retail partners to add sponsored search media to our network. For sponsored search media, Quotient now offers a truly national platform with shopper reach into $150 billion of sales across multiple classes of trade, including grocery, drug and dollar. This scale enables CPGs to shift search marketing dollars from places like Google to Quotient. The investments we have made over the last year since my return as CEO have been focused primarily around 3 themes: delivering the very best product experiences; sustainably growing our business; and preparing to capture the rapidly accelerating shift from offline to digital. As most of you know, in November of 2019, we acquired Ubimo, a demand-side platform that enhanced our media offering, while also lowering a portion of our media costs. Ubimo delivers an industry-leading programmatic Digital Out-Of-Home offering. Since the acquisition, we’ve added video and audio, dynamic messaging and scrolling and other features. We have also integrated our performance measurement and analytics platform, tying campaigns directly to product sales. Digital Out-Of-Home represents a new and growing channel to the Quotient platform and we’re already seeing engagement by many brands and retailers, including those in other verticals outside of CPG and grocery. We also signed a new partnership with Mandlik & Rhodes, which disrupts the legacy clearing industry and brings transparency to brands and retailers. CPGs can now spend less on digital coupon clearing fees, increasing their marketing ROI as the industry rapidly shift from legacy offline print to digital coupons over the next 18 months. In addition to the highlights I’ve just mentioned, there were several market growth drivers that also support and accelerate CPG and retailers shift to digital. The first, the rapidly growing e-commerce or online grocery channel. This channel continues to be a source of incremental growth opportunities for Quotient as brands and retailers build digital strategies and collaboratively align marketing dollars to where shoppers are. In the second quarter, the percentage of promotions cliffed and redeemed from our e-commerce channel increased 131% over Q1 of 2020. The second, retailers are strengthening their digital-first strategies and prioritizing retail media. Quotient’s retail performance media drives sales and create significant alternative revenue streams for retailers, enabling high profit revenue to help fund important omnichannel investments. RPM also helps retailers claim their share of national and shopper digital promotions and media dollars from CPGs. To help drive these available dollars onto their digital platforms, some of our RPM partners have created programs for brands to commit marketing dollars generally and agreed upon percentage of gross sales. As many CPGs start to enter new annual fiscal cycles in the fall, we believe the timing for these programs is ideal and should act as a tailwind for us in the back half of 2020 and for the full year of 2021. And third, the shift from offline paper coupons to digital continues to be a large growth driver, as we begin to see more brands adopt strategies and road maps for exiting the free-standing inserts. Several brands are now adding a corresponding digital coupon for every paper coupon delivered in the FSI, providing a clear on-ramp to further shift spend from paper to digital. In addition, retailers are starting to align on this strategy as well. Digital coupons remains one of the most effective and efficient ways for CPGs to spend marketing dollars to drive sales, particularly in recessionary periods. For the above reasons and more, we believe we have a large and growing opportunity in front of us. The current environment is accelerating the shift to digital. Retailers and brands are quickly responding, prioritizing new innovative ways to engage shoppers, invest more in digital, build loyalty and long-term brand equity, all with the goal of increasing sales with high-value ROI on advertising dollars. Our market-leading strength positions us well to deliver exceptional customer experiences and deep industry knowledge to brands and retailers. We expect to see significant growth in the second half of the year, as CPGs plan to grow their investment in digital promotions and media. We’re thrilled to have a strategy in place that allows us to help shape the future of retail as the industry continues to shift to digital. And with that, I’ll now turn the call over to Pam.
Pam Strayer: Thank you, Steven, and good afternoon, everyone. I’ll keep my remarks brief and encourage you all to read the full prepared financial results in our stockholder letter and in our press release, both posted on our website. Revenue was $83.5 million, down 20% from Q2 of last year. As we had anticipated in May, and built into our guidance for the quarter, COVID-19 had a negative impact on our revenue this quarter as our customers adjusted their plans for promotion and media spend. In addition to these market factors, and as we previously discussed, a portion of our media revenue is now recognized net of costs this quarter when it had been recognized on a gross basis prior to Q2 2020. Had this business been recognized growth, our Q2 revenue would have been $8.6 million higher, resulting in a year-over-year decrease in total revenues of 12%. Media revenue in Q2 was 44% of total revenue and decreased 22% year-over-year. This decrease was primarily due to the gross to net revenue recognition change we made in our media business and would have been down 4% from prior year without this change. Relatively new media offerings, such as sponsored product search and Digital Out-Of-Home, delivered significant growth in the second quarter over the last 2 consecutive quarters, as marketers turn to digital channels to target shoppers, elevate brand equity and drive sales. Promotions revenue in Q2 was 56% of total revenue and declined 19% year-over-year, primarily driven by the impact from COVID-19. Digital print declined 27% over last year and digital paperless promotions, which are primarily retailer specific, declined 19% over Q2 last year. This was offset by 15% growth in specialty retail over last year, which benefited from more retail e-commerce activities during the stay-at-home orders. On a trailing 12-month basis, revenue from our top 20 cohort grew 5% year-over-year, and we saw overall growth of 2% year-over-year across all 3 customer cohorts. GAAP gross margin for Q2 was 39.2%, a 40 basis point improvement over the same quarter last year. Non-GAAP gross margin in the quarter was 47.2%, a 280 basis point improvement over last year. Non-GAAP gross margins primarily benefited from the change in delivery and revenue recognition from gross to net as well as the increased mix in promotions revenue. These benefits were partially offset by lower revenue in the quarter over fixed costs. With the expected increase in revenue across our business in the second half of the year, fixed costs will scale and gross margins will increase given a consistent product mix. GAAP operating expenses increased by $6.1 million over the prior year, primarily due to higher fair value of contingent consideration associated with the Ubimo acquisition. Non-GAAP operating expenses were approximately flat year-over-year, while also absorbing approximately 42 employees from the Ubimo acquisition. As compared to Q1 2020, non-GAAP operating expenses were down $4.3 million, primarily due to cost controls. We delivered $4.4 million of adjusted EBITDA in the second quarter of 2020, well above the top end of our range, primarily due to focused cost controls, which resulted in lower total operating expenses. Looking at cash, we generated $16.9 million of cash from operations in the second quarter, primarily driven by strong accounts receivable collections, strong revenue exiting Q4 in the first half of Q1. We continue to focus on maintaining a strong balance sheet. We ended the second quarter with approximately $211.9 million in cash and cash equivalents, up $15.1 million from the prior quarter. Now turning to guidance. For the full year 2020, we have regained visibility and confidence as bookings and pipeline momentum builds. We are working with our customers and partners to schedule and plan for their investments in the back half of the year. We now expect revenue to be in the range of $430 million to $455 million, over 36% growth in the back half of the year compared to the first half. For the third quarter of 2020, we expect revenue to be in the range of $120 million to $130 million or 9% growth over Q3 last year. This includes the gross to net revenue change for certain media products. Revenue mix between promotions and media for the year is harder to predict, given the macro trends between these 2 businesses. We’re focused on improving non-GAAP gross margins over time, but product mix throughout the rest of the year could affect the timing positively or negatively. For the second half of 2020, we expect non-GAAP operating expenses to be approximately $42 million to $44 million in the quarter. Consistent with past seasonality of expense, we expect Q4 non-GAAP operating expenses to be slightly higher than Q3. Adjusted EBITDA for the full year 2020 is expected to be in the range of $43 million to $53 million. For the third quarter of 2020, we expect adjusted EBITDA to be in the range of $15 million to $20 million. Given the decrease in our total revenue expectations for the year due to the impact from COVID-19, adjusted EBITDA will be less than we originally expected for fiscal year 2020. However, we are still forecasting significant growth in adjusted EBITDA in the second half of the year, and we are confident that we’ll return to adjusted EBITDA expansion in 2021 as revenue growth. Given our current forecast, we expect negative cash flow in Q3 due to lower Q2 revenues and lower cash collections in the quarter. However, by Q4, we would expect operating cash flow to be breakeven to slightly positive again from higher Q3 revenues and higher margins. We expect weighted average diluted shares outstanding for 2020 to be approximately $92 million. In summary, Q2 was a soft quarter as expected and impacted from the effects of COVID-19. As brands and retailers plan for their digital-first priorities and investments in promotions and media resume, revenue in Q3 and Q4 are expected to grow significantly. We anticipate further growth in adjusted EBITDA as revenue increases in the back half of the year, the current environment is accelerating its shift to digital, and we remain focused on our customers and partners as well as driving sustainable growth in this large and growing market. And with that, I’ll turn the call over to questions. Operator?
Operator: [Operator Instructions] Our first question comes from Chad Bennett with Craig-Hallum.
Chad Bennett: So just maybe a quick one, just on the gross margins going forward here in the second half of the year, do we still plan to get that kind of 50% exit rate in the fourth quarter?
Pam Strayer: Chad, yes, this is Pam. We’re very focused on getting the 50% GAAP. Non-GAAP gross margins were a little bit more uncertain about timing of hitting that. As we step back and take a look at what pipeline and bookings look like in the second half of the year, we’re seeing really nice momentum. But product mix is such a significant impact that it’s a little bit difficult to predict. A lot of our customers while they are able to share spending plans with us, it’s not as easy to know exactly how the product fits between promo or media or within either those categories. So the product mix is a big impact. And we’re not sure we’re going to get there by Q4 of this year but certainly in 2021.
Steven Boal: Let me just add something there, it’s Steven. Part of that is due to the fact that we had programs that were paused or delayed entirely from starting due to COVID and are being rebooked in the back half. And because the budgets may be overlapping a little bit, that may drive some additional revenue down the media segment, than we have been planning for. So it’s got a big impact on it for this year.
Chad Bennett: Okay. Great. And then maybe a follow-up for Steven. Just a couple of parts. I guess, you talked about Q3 bookings as we stand today, being ahead of historical rates. I guess, any quantification there? And a follow-up being what is your -- you feel like your level of visibility into your second half guide that you just gave today versus prior years? And I know you’ve been back full time, not even quite a year, but just -- I know you know the business well. So what’s the level of comfort in that second half, 36% increase?
Steven Boal: Sure. So let me say a couple of things. The first is we’ve got a lot of indications now. I mean one of the things that Scott Raskin put in place when he joined over the course of the past 12 months is just bordering on a year now is a whole bunch of tools and capabilities so that we would have much better visibility on the upfront on the pipeline side, and then Pam put a lot of rigor into the finance department so that we could actually tie those two things together.  And I would tell you that in 20 years plus, we’ve got more visibility and more confidence than we’ve ever had before. And then just -- there are some nuggets, right? So as we sit here today, our Q4 total pipeline is higher by at least 25% with less than 60 days of the quarter start than we’ve seen historically. So we’ve got that kind of visibility now into our business. So I would say that we’re not in the business and hopefully not in the business anymore of putting numbers out there and then disappointing. So if we say 36% growth in the back half, we’re banking on that or better.
Chad Bennett: Okay. And then when -- that’s actually great color also. Then maybe one last one for me, if I could. Just on the new partners, Rite Aid and HyVee, great brands there that you’ve added. Any kind of time line in terms of rollout to production with those 2? And then I’ll hop off.
Steven Boal: Sure. We’re going to let the retailers dictate the timing of the announcements of their go lives but there -- this year, and we would expect them sooner rather than later. And I have to tell you, we’re really excited about this. Just to add a little bit of color that I think everybody is interested in hearing. Last year, we didn’t add any retailers. We added somebody to RPM at the beginning of last year. And one of the very sharp focuses that we’ve put on in the past 12 months is building that pipeline of retailers.  And I’ll tell you, given what I’ve seen over the past 12 months, the 2 signings we’ve announced, the expansion of another retailer into search -- our search platform and the fact that we’ve clearly stated, we expect to be able to share more in the coming weeks and months, more retailer announcements and some of our primary vertical. That is really one predictor of the success and future growth of our business. And we’ve just built a very strong pipeline of additional retailers. So stay tuned on that fact.
Operator: Our next question comes from Shweta Khajuria with RBC. Please go ahead. 
Shweta Khajuria: Okay. Thank you. I’m sorry, I joined a little bit late. I apologize if this was covered, but could you please talk about the expectation of contribution from your past 2 announcements as well as the new ones from this quarter in terms of your partnership, should -- is the expectation that once the partnerships are scaled, and I’m referring to 7-Eleven, Shipt, Rite Aid, HyVee, once they are scaled, you could express some contribution starting as early as 2021. And any other color in terms of the nature of these partnerships? And how it is going so far with the prior 2?
Steven Boal: Sure, Shweta. Thanks for the question, and thanks for joining. Actually, we would expect contribution in 2020 from these recent announcements. Again, the timing, we’re going to leave the timing up to the retailers to announce their programs, and some of those will be announced, I think, sooner rather than later. But no, we would expect contribution both from recent announcements prior to this earnings cycle and also these -- in this calendar year. And so generally, when we make an announcement, we have already begun some of the integration work. And so there’s an awful lot of work that goes into forming these relationships and tying off on a technical capability. And so actually, a lot of that work gets done before we make an announcement. So that’s what I would tell you about our expectation. With respect to partnerships, I’m thrilled with the way that partnerships are developing. I really am. I said before, one of the things that we’ve been focusing on since my return and bringing a lot of really capable senior leadership into the business is just the rigor around the process of onboarding, forecasting, predicting and taking products to market. And so we’ve built the things that we call playbooks for delivering new retailers to market for going out and building campaigns and programs with CPGs in concert with those new retailers, and we’ve got a much better set of metrics. That allow us to plan and then measure how well we’re doing. So I think we’re in great shape.
Operator: Our next question comes from Elliot Alper with D.A. Davidson.
Elliot Alper: Great. So last week Pinterest called out very strong momentum for CPGs in the month of June and July. So on monthly trends with a significant portion of your revenues generated in the month of June, did you see those trends continue through July? I’m curious if you saw sales trends were correlated with reopening phases in different geographies of the country.
Steven Boal: So the answer to that question is, yes. We’re also seeing the effects of not just reopening, but also stock levels becoming back to normalized and spending sort of returning to normalized spending pattern. So one of the things that I think is correlated with the CPG growth that you just mentioned was the fact that retail has stabilized and stock levels have stabilized and e-commerce has stabilized. All of those things that were under really significant pressure as COVID started to really hit the U.S. have leveled out. And that allowed CPGs to have the confidence to start deploying marketing dollars again. So we would expect to see the exact same effect in growth.
Elliot Alper: Okay. Great. And then how, if at all, has this changed the company’s strategy given the large influx of consumers now purchasing groceries online. Amazon reported 300% increase in online grocery sales. So are you able to retain the same shopping data?
Steven Boal: Yes. As a matter of fact, we’ve been -- long been proponents of e-commerce grocery. It started before COVID, really small percentage of total grocery in the kind of 3% range. Obviously, that -- the skew from COVID has changed the velocity and the vectors associated with that nonlinear growth. Overtime, those numbers will stabilize, they’ll settle down. And on a go-forward basis, what we expect is that shoppers will now have mixed mode shopping in their homes.  Now that so many people have experienced e-commerce, they’ll buy some products, ecommerce, they’ll still want a return to normalcy and go into store and have that discovery opportunity picking fruit, picking meat, fish, et cetera. But every -- by definition, every ecommerce grocery transaction is a digital transaction. Where every in-store transaction is not by definition digital. And so for us, the more e-commerce, the better. And clearly, our sponsored search listing products, for example, and our retail performance media do well really well in an e-commerce strong environment because those engagements are all, again, as I said, by definition, they are digital, you have to shop digitally for ecommerce. So that’s actually very positive for us.
Operator: Our next question comes from Steve Frankel with Colliers.
Steve Frankel: Steve, I’d like to dig a minute into this notion of retailers pushing their CPG partners to commit a percentage of gross sales to the RPM platform. You used to talk about a 1% number, maybe give us an update on whether that’s still a reasonable target? And where you think we are in this transition?
Steven Boal: Sure, Steve. Thanks for asking. Actually, 1.5% is what we’ve been quoting. And that’s really been such a rewarding relationship between CPGs and retailers now that the platform is at scale and all of them -- targeting and measurement capabilities are tightly integrated. And so one of those programs is fully in market, two more are rolling out in the near future, actually. And I think what we’ve quoted in the past is something to the effect of with some brackets that 1% of gross sales by CPGs for just top three retailers for us would equate to something in the neighborhood of around $700 million a year in revenue. And remember, that is existing spend that is today spent offline. And so moving it into digital, not only benefits the CPGs because the ROI is on average much higher, the retailer has an opportunity to engage digital shoppers and digital shoppers spend more time in store, they spend more time online, they spend more in their shopping experiences with those retailers. And shoppers are clearly advantaged because with digital, you can deliver to shoppers the kinds of things that they are interested in. And so every single constituent in that equation is benefiting from this and actually think 1.5% is the beginning. And over time, we’ll see that scale to 2%, 2.5% and 3%.
Operator: Our next question comes from Jed Kelly with Oppenheimer & Co. Inc.
Jed Kelly: Great. So I think with COVID, we’ve started to see some of the leading fintech companies, such as like PayPal, start to invest more in their digital wallet. Given your scale -- your data, your scale, your partnership with some large grocers, is there an opportunity sort of to integrate your data set more with some of these fintechs that are spending more money or more investments into their digital wallets?
Steven Boal: That’s a great question. We’ve looked at a lot of partnership opportunities on the wallet and also on the payment because payment and wallet may be different, right? on the wallet and the payment type. The thing there is that most of those companies are trying to get at that data. And it’s not clear to us to what end. Because on the other side of payment, they don’t have the relationships with the packaged good companies that sell most of those products through the retailers we service. Now that may be a little bit different. As we said earlier, we’re expanding our retail platform off of our core verticals. So expect us to announce partnerships in the near future that are not traditional grocery, drug, mass dollar club and convenience for us. And in those environments where they’ve got longer standing omnichannel experiences for shoppers, there may be an opportunity to integrate a little bit tighter with a wallet provider or a payment provider. But as I sit here today, I just don’t understand what the value to us would be. I certainly know what the value to the wallet providers and the payment providers would be. But I don’t see any cyclical value to us. So I’m not sure we would invest in that type of relationship.
Jed Kelly: Got it. And then I joined a little late. Did -- can you provide us -- did you provide an update on the 7-Eleven partnership in the -- and how it’s been trending with the venture into alcoholic beverages?
Steven Boal: No, we didn’t. And generally, we don’t talk specifically about individual retailers, but I will say in the last very short period of time, 7-Eleven announced a merger with Speedway. And that -- we were really excited when that became public news. Speedway is 3,900 stores and a terrific loyalty program. And so we’re just really excited about the overall 7-Eleven relationship. They’re a fantastic partner.
Jed Kelly: All right. And then just one more. I guess as we’re looking at unemployment trends, and you’ve had data on how coupon shopping trended during the last recession. I mean, how are you sort of looking at unemployment into 4Q and next year? And is there anything that’s going to be different this time around versus the last recession and how you see consumers shopping?
Steven Boal: That’s an excellent question. And the answer to that is a clear no. Shoppers really turn to value in recessionary times. And these times -- these are unprecedented. The unemployment rate is as high as it’s been since the great depression. And so -- and coupons were actually born out of the great depression, even though they started in the late 1800s. It was very slight usage until 19 -- I think, 1937, 1938 when over 72% of the U.S. population was reportedly using coupons for groceries. And so we’re clearly working with our brand partners, CPGs and retailers, to think about how they deploy promotions and value. The beauty that digital brings, the only difference between now and way back then, obviously, technological changes taking place, is that we can really very finely target shoppers with information. And that comes to light, particularly when you look at things that are on sale in a store, typically around 10% of the store is on sale, but in that physical circular, you’re really getting very few things that can be in front of the shoppers. But with digital, we can parse down to the individual shopper, the individual offers that we think that they’re most likely to want to take advantage of and fulfill the mission of the CPG, the mission of the retailer and satisfy the shopper. And so digital really allows us to have a much better, closer relationship, and most importantly, deliver the right kind of value to shoppers when they’re feeling the pinch that they are right now. It’s really tough for shoppers right now.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to management for any closing remarks.
Steven Boal: Thank you, operator, and thank you all for joining us today. And to those of you on the East, particularly with the storm approaching, I hope you all are safe. We look forward to the second half of 2020 as brands and retailers continue to prioritize digital over offline and paper. With new retailers expected to be live soon on our platform and revenue expected to grow over 36% in the back half of this year over the first half, we remain confident in our strategy and excited for the future growth of the company. Thank you again. We hope everyone stays healthy and safe.
Operator: The conference has now concluded. Thank you for attending today’s presentation. You may now disconnect.